Operator: Good day, and thank you for standing by. Welcome to the Verint Q2 2025 Earnings Conference Call. At this time, all participants are in a listen-only mode. Please be advised that today’s conference is being recorded. After the speaker’s presentation, there will be a question-and-answer session. [Operator Instructions] I would now like to hand the conference over to your speaker today, Matthew Frankel, Investor Relations and Corporate Development Director.
Matthew Frankel: Thank you, operator. Good afternoon, and thank you for joining our conference call today. I’m here with Dan Bodner, Verint’s CEO; Grant Highlander, Verint’s CFO; and Alan Roden, Verint’s Chief Corporate Development Officer. Before getting started, I’d like to mention that accompanying our call today is a slide presentation. If you’d like to view these slides in real-time during the call, please visit the IR section of our website at verint.com, click on the Investor Relations tab, then click on the webcast link and select today’s conference call. I would also like to draw your attention to the fact that certain matters discussed in this call may contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995 and other provisions under federal securities laws. These forward-looking statements are based on management’s current expectations and are not guarantees of future performance. Actual results could differ materially from those expressed in or implied by these forward-looking statements. The forward-looking statements are made as of the date of this call and, except as required by law, Verint assumes no obligation to update or revise them. Investors are cautioned not to place undue reliance on these forward-looking statements. For a more detailed discussion on how these and other risks and uncertainties could cause Verint’s actual results to differ materially from those indicated in these forward-looking statements, please see our Form 10-K for the fiscal year ended January 31, 2024, our Form 10-Q for the quarter ended April 30, 2024, our Form 10-Q for the quarter ended July 31, 2024, when filed, and other filings we’ve made with the SEC. The financial measures discussed today include non-GAAP measures as we believe investors focus on those measures and comparing results between periods and among our peer companies. Please see today’s slide presentation, our earnings release and the Investor Relations section of our website at verint.com for a reconciliation of non-GAAP financial measures to GAAP measures. Non-GAAP financial information should not be considered in isolation from, as a substitute for, or superior to GAAP financial information, but is included because management believes it provides meaningful supplemental information regarding our operating results when assessing our business and is useful to investors for informational and comparative purposes. The non-GAAP financial measures the company uses have limitations and may differ from those used by other companies. Now, I’d like to turn the call over to Dan. Dan?
Dan Bodner: Thank you, Matt. I’m pleased to report another quarter of continued AI momentum including strong AI bookings and AI business outcomes reported by customers. New AI bookings increased over 40% in Q2 year-over-year. Bundled SaaS revenue driven by AI increased 15% year-over-year an acceleration compared to approximately 10% growth in Q1. We expect our AI momentum to continue and drive strong AI bookings and Bundled SaaS revenue growth in the second half of the year. Beyond our AI momentum is our ability to deliver AI business outcomes now. Today, we have many customers including some of the world’s leading brands reporting strong AI business outcomes from Verint’s AI-powered bots. We believe our ability to deliver measurable AI business outcomes now is a significant differentiator. Turning to our fiscal 2025 outlook, we are on-track to achieve our guidance for the year. Q2 revenue came in at $210 million within our guidance range and for the full-year we are maintaining our guidance of 5% growth adjusted for the divestiture. For non-GAAP diluted EPS, we are also maintaining our full-year guidance of $2.90. We expect another year of margin expansion and adjusted EBITDA growing faster than revenue with 10% EBITDA growth for the full-year. We believe the AI opportunity in the contact center market is very large. The CX industry is spending about $2 trillion annually on labor costs and brands are seeking AI-powered bots that can deliver tangible business outcomes. We are addressing this very large TAM with a differentiated open platform delivering tangible results to our customers. AI adoption in our market is currently in its early stages and we are pleased to report many data points that demonstrate our competitive differentiation. There is significant AI noise in the market and brand seek vendors that have proven capabilities that can increase agent capacity, elevate CX, and automate workflows within their existing ecosystems. Our ability to demonstrate tangible AI business outcomes now for some of the world’s leading brands is resonating well within our customer base and new logos. In Q2, we continued to win large contracts based on our AI business outcome differentiation. As discussed on prior earning calls, the Verint Open Platform quickly transforms the latest AI technology into tangible AI business outcomes better than any other contact center vendor. Behind our differentiation is the unique design of our platform with behavioral data and Verint Da Vinci AI at the platform core. Verint Da Vinci acts as the factory for our bots leveraging the latest AI technology available today in the market. As Verint bots emerge from the bot factory, they train continuously in the bot gym on relevant behavioral data. Data is critical to building powerful AI bots and we believe the data available in the Verint platform data hub is another significant differentiator driving stronger AI business outcomes. And finally, the very bots are embedded in the same workflows our customers use every day enabling brands to quickly deploy bots and benefit from outcomes now. Our competitors are generally unable to show strong proven results that require disruptive changes to the customer ecosystem and take long before any outcomes can be demonstrated. Our competitive advantage comes from the strong and proven AI business outcomes that we can very quickly deliver into existing customer ecosystems for some of the largest brands in the world. As a reminder, we launched our Open Platform with 40 AI-powered bots one year ago. Since that time, customers that have purchased a bot typically started with low consumption to validate the AI business outcomes the bots can deliver. I’m pleased to share that many of these customers are now reporting very strong AI business outcomes. They’re also starting to increase consumption levels of the bots that already purchased and add more bots to generate additional AI business outcomes. We’re tracking AI adoption across our customer base. Looking at the cohorts of our largest customers, those generating at least $1 million ARR, we see more than half have already purchased at least one AI-powered bot. I’m very pleased with the progress we are making in our customer base and our ability to demonstrate strong AI business outcomes. You can find many examples of customer reported AI business outcomes on our website. Here are a few examples. A leading bank created a $10 million in agent capacity by containing 80% of its interactions in self-service. A top BPO avoided $6 million of self-service fraud attempts in a single month. A financial services company created $5 million in agent capacity by cutting 20 seconds per call on average. And, an insurance company paid $4.5 million by reducing agent attrition by 30%. Let’s look at the case study from a healthcare customer in more details. One of the largest healthcare providers in the U.S. has been deploying multiple variant bots. Let me walk you through their AI journey starting with one of their Verint bots. The specific bot is designed to automate the wrap up portion of the call and reduce average call duration by 30 seconds. In January 2024, the customer deployed this bot for 300 agents in a hybrid cloud model. This was a quick deployment into Verint Cloud connected to the customer on-prem existing ecosystem. Our differentiated hybrid cloud architecture enable the customer to deploy our latest AI innovation without the need for cloud conversion shares. In just few months, the Verint bot delivered tangible AI business outcomes. And, in July 2024, these AI outcomes led the customer to dramatically expand their bot deployment from 300 agents to 30,000 agents. To help you understand the ROI of this specific bot, reducing call duration by 30 seconds across 30,000 agents increases agent capacity equivalent to $17 million annually. The AI journey for this customer includes the deployment of multiple bots at initial consumption levels and our platform enables them to quickly increase consumption levels as they validate strong AI business outcomes. Over the last year, our ARR from this customer doubled from $5.3 million at the end of Q2 last year to $10.7 million at the end of Q2 this year. Our customers are at different stages of their AI journey, and in Q2 we continue to announce winning large deals including the Fortune 25 Brand awarding Verint a $13 million deal, a top 10 U.S. Public Utility Company awarding Verint a $6.5 million deal, and a leading insurance company awarding Verint a $5 million deal. Now, let’s take a closer look at this insurance deal. This existing Verint customer just started their Verint AI journey with one of their business units. Their initial goal was to increase agent capacity in this business unit using five Verint AI-powered bots. They chose these five specific bots over many other bots available in the Verint Open Platform based on the business outcomes they wanted to achieve first. They initially purchased licenses to cover 600 agents, which is approximately 20% of their overall contact center capacity of 3,000 agents. Similar to my earlier healthcare example, we believe there is a large growth opportunity for us with this insurance customer as they expand consumption level of these five bots and deploy additional bots over time. As you can see from these examples, Verint is well-positioned for contact center AI leadership due to our ability to deliver tangible AI business outcomes that are stronger and faster than the competition. Stronger outcomes are important because they represent higher ROI for customers. We deliver stronger AI outcomes due to our Open Platform designed with data and AI at the core based on deep contact center domain expertise and anticipating AI trends early by working closely with the world’s leading companies. Faster outcomes are important because customers need to reduce labor costs and elevate CX now. We deliver faster AI outcomes due to our hybrid cloud design and AI consumption models, which enable customers to quickly deploy AI in their existing ecosystems and increase AI consumption over time avoiding long and disruptive rip and replace programs. Our AI business outcomes are not only stronger and faster than the competition, but also more cost effective than internal development. In some companies, we see IT departments purchase GenAI technology and look for use cases across the enterprise including the contact center. We are able to demonstrate to IT that for the contact center, our platform delivers stronger, faster, and more cost effective solutions. Overall, we believe our ability to deliver AI business outcomes now is a unique and sustainable differentiator. To recap, we had a strong AI bookings and Bundled SaaS revenue growth in Q2. We entered H2 with a strong Bundled SaaS pipeline and expect AI bookings and Bundled SaaS revenue momentum to continue in the second half of the year. We are maintaining our guidance for the year for 5% adjusted revenue growth and 10% adjusted EBITDA growth. Finally, consistent with our Rule of 40 goal previously discussed, we target 10% revenue growth and 30% adjusted EBITDA margin in our fiscal ‘27. With that, I’ll turn it over to Grant, to discuss our financial results in more details. Grant?
Grant Highlander: Thanks, Dan. Good afternoon, everyone. Our discussion today will include non-GAAP financial measures. A reconciliation between our GAAP and non-GAAP financial measures is available, as Matt mentioned, in our earnings release and in the IR section of our website. Differences between our GAAP and non-GAAP financial measures include adjustments related to acquisitions and divestitures, including fair value revenue adjustments, amortization of acquisition related intangibles, certain other acquisition and divestiture related expenses, stock-based compensation expenses, accelerated lease costs, IT, facilities and infrastructure realignment, as well as certain other items that can vary significantly in amount and frequency from period-to-period. Today, I will cover three topics. First, I will review our Q2 results and our strong AI momentum. Second, I will do a mid-year review and discuss progression of the remainder of the year. Finally, I will discuss how demand for AI will benefit our financial model longer-term. Let me start with an overview of our Q2 results. Non-GAAP revenue increased 3% year-over-year to $210 million adjusted for our divestiture. Bundled SaaS revenue came in as expected with strong sequential and year-over-year growth driven by market AI adoption. Unbundled SaaS revenue came in a bit lower than our expectations due to deal timing, which does not change our annual guidance. Non-GAAP gross margins came in strong in Q2 with non-GAAP margins at 71.2% up 170 basis points year-over-year. We are pleased with our gross margin expansion and believe our ability to increase gross margins reflects the strength of the AI business outcomes we deliver to our customers. Adjusted EBITDA was up 7% year-over-year due to our margin expansion. Non-GAAP diluted EPS came in at $0.49 consistent with our adjusted revenue in the quarter and up 3% year-over-year. Now, let’s look at our AI growth metrics more closely. As we have discussed on past calls, 100% of our AI innovations deployed in Bundled SaaS and the following two Bundled SaaS metrics are shared to help investors understand our AI growth. In Q2, Bundled SaaS revenue growth accelerated to 15% year-over-year, up from approximately 10% in Q1. New Bundled SaaS ACV bookings from new deals increased 37% year-over-year, and I will discuss our positive bookings trends in more detail in a moment. Another SaaS metric that relates to AI adoption is term length. I am pleased to report that in Q2, our term lengths on SaaS renewal contracts was about 20% longer than a year ago. We believe these longer term lengths reflect growing customer confidence in our platform and commitment to their AI journey with Verint. Additionally, the key leading indicator of our AI momentum is our Bundled SaaS pipeline. As of the end of Q2, our advanced stage pipeline for the remainder of the year was up around 20% year-over-year, driven by AI demand. I would also like to note that the AI market is in its early stage and we see a growing number of customers with initial deployment of bots. As Dan discussed earlier, looking at our largest customers with greater than 1 million of ARR, more than half have already deployed at least one bot from Verint. Many of our customers have already started their AI journey with Verint, typically with an initial low level of consumption, which represents a large revenue growth opportunity for Verint over time. Given we are halfway through the year, I would like to review our Bundled SaaS booking trends in the first half of the year and our expectations for the second half. Bundled SaaS bookings is comprised of two types of deals, new deals, which include new functionality and conversion deals, which include like-for-like conversions of on-premise deployments to the Verint Cloud. Bookings from new deals in H1 increased 39% year-over-year, and we expect a similar level of growth in the second half of the year. We are pleased with the strong growth of new deals driven by market AI adoption. The large majority of the Bundled SaaS bookings from new deals included AI-powered bots. And, these AI bookings in Q2 increased more than 40% year-over-year. Bookings from conversion deals in H1 decreased year-over-year, consistent with our expectations that customers would adopt AI-powered bots first and do conversion second. As Dan explained, customers are looking for AI business outcomes now without disrupting their existing ecosystems. Verint Open Platform is highly differentiated, enabling customers to get access to our new AI innovation and a hybrid cloud deployment without the prerequisite of having to convert existing applications first. Near-term, we believe customers will remain focused on AI adoption, and therefore we expect a small amount of conversions in H2. Longer-term, we expect our customers to convert to the Verint Cloud after they have deployed a number of our AI-powered bots. A historical breakdown of bookings has been added to our IR dashboard on our website. Next, I would like to review bundled and unbundled SaaS revenue trends in the first half of the year and what we expect in the second half. In Q2, we had strong sequential growth in Bundled SaaS revenue and we expect this trend to continue in Q3 and Q4, driven by AI adoption. As we have discussed in the past, unbundled revenue each quarter is heavily influenced by the timing of renewals. For Q3, we expect a similar amount of unbundled SaaS revenue as in Q2. And in Q4, we expect a large sequential increase to around 115 million similar to the dynamics we saw in Q4 of last year. I would like to mention that it is possible that about $20 million of our expected unbundled SaaS revenue may shift left and move forward to Q3 as a large contract up for renewal in Q4 may be renewed earlier. At this time, however, this revenue was included in our Q4 guidance. Turning to our guidance for fiscal ‘25, we are maintaining our revenue and non-GAAP diluted EPS guidance for the full-year. On a non-GAAP basis, our revenue outlook for fiscal ‘25 is $933 million plus or minus 2%, reflecting a bit more than 5% growth compared to fiscal ‘24 adjusted revenue. We expect gross margin increase again this year and expect at least 150 basis points of expansion year-over-year. The combination of revenue growth and continued margin expansion is expected to increase adjusted EBITDA growth to approximately 10% for the year. And for diluted EPS, we expect $2.90 at the midpoint of our revenue guidance. Regarding below the line assumptions for the full-year, we expect interest and other expense net a little over $2 million. Net income from a non-controlling interest of around $1 million a cash tax rate of around 12% and approximately 72.5 million fully diluted shares. Let me also discuss how we see the second half of the year progressing. In the first half of the year, we delivered 4% revenue growth adjusted for the divestiture, with an 8% increase in adjusted EBITDA year-over-year. In the second half of the year, we expect around 6% adjusted revenue growth with an approximate 11% increase in adjusted EBITDA year-over-year. Our outlook for H2 reflects continued Bundled SaaS revenue growth driven by our AI momentum, as well as unbundled SaaS revenue growth driven by a large amount of renewals that we expect in Q4. For modeling purposes, for Q3, we expect $210 million revenue plus or minus 2% similar to Q2. I’d like to mention that due to timing, gross margin will be a little lower in Q3 than Q2 and operating expenses will be higher in Q3 than Q2. And, we expect diluted EPS coming in around $0.43. For Q4, we expect around $291 million of revenue, very strong gross margins, operating expenses in a similar range to Q3 and $1.40 of diluted EPS. To help better understand the step up of revenue we expect in Q4, I would like to bridge our adjusted revenue from Q4 last year to our projected Q4 revenue this year. Revenue is expected to increase around $30 million year-over-year in Q4. Approximately $10 million of the increase is from Bundled SaaS revenue, reflecting steady sequential revenue growth throughout this year. Approximately $10 million of the increase is from unbundled SaaS revenue reflecting the value of renewal contracts coming up for renewal in Q4 this year compared to Q4 of last year. And, approximately $10 million of the increase is from non-recurring revenue, which relates to existing contracts that have a revenue component that will be recognized in Q4. Overall, the quarterly progression of this year is similar to last year. Turning to our balance sheet. We continue to be in a very good financial position. Our net debt remains well under one-times last 12 month EBITDA and is further supported by our strong cash flow. With regard to cash flow, we are targeting about a 40% increase in free cash flow to approximately $180 million for the full-year. With regard to stock buybacks, in Q2, we completed our previously announced $200 million share buyback program. Going forward, we plan to use around half of our free cash flow to buy back stock. And today, we are announcing a new $200 million buyback program over two years. Before wrapping up, I’d like to talk about how market AI adoption is benefiting our financial model and how we expect it will help us achieve our Rule of 40 target. First, AI has significantly increased our TAM. There are very few industries, has right for automation as the contact center market and we are very well-positioned to capture this opportunity. Second, the AI opportunity is in its early stages and as customers experience strong AI business outcomes, we expect adoption to increase driving more consumption of our bots and accelerating revenue for Verint. Third, we expect our gross margin to continue to expand over time, driven by our strong AI innovation and the high value we deliver to our customers. And fourth, we expect operating leverage from increased sales productivity as early stage markets take more education and sales effort. Many of our largest customers have already started the AI journey with Verint, and we expect sales productivity to increase as the market matures. Overall, we are pleased with our AI momentum and believe that market AI adoption will have a positive impact on our revenue growth rate, margins and cash flows as we work towards a Rule of 40 target in fiscal ‘27. With that, operator, please open the line for questions.
Operator: Thank you. [Operator Instructions] Our first question comes from Joshua Reilly with Needham. You may proceed.
Joshua Reilly: All right. Thanks for taking my questions. Maybe just starting off on the unbundled deals here that pushed in the quarter, maybe just some additional information there would be helpful. Was it driven by the macro, competitive issues or customers just considering how many seats that they may need on renewal and that’s kind of having them try to figure out what is the impact of AI on the seat count that they need on these renewals? Just maybe some additional info there would be helpful.
Dan Bodner: Sure. Happy to address. So as Grant said, we came with the Bundled SaaS revenue were strong 15% growth and basically exactly where we expected them. So obviously Bundled SaaS is more predictable and it’s growing nicely linearly every quarter. With unbundled SaaS there was a deal that was pushed. It’s one deal. It’s nothing to do with AI. There is no AI in unbundled SaaS. It’s only in Bundled SaaS deals. And unbundled SaaS as we saw in the past can move quarter-to-quarter. Grant also mentioned that there’s a $20 million deal that currently we’re guiding to Q4 but actually may come in Q3. So, there could be some movement in timing. These are large deals from very large customers. And this one deal that we came $1.5 million in unbundled below expectations and that’s one deal is from a very large customer who is spending much more money with Verint. This has nothing to do with AI. It’s also nothing to do with agent counts. As we discussed before we see customers that are starting to get some very strong AI business outcomes and they’re reporting back to us. And we launched the platform a year ago. That was like the end of the summer last year. Then we had customers starting with initial AI purchases. And as they validated the business outcomes that we have promised, they increased the AI consumption and now we think more and more customers are reporting strong business outcomes, including very strong increase in agent capacity. But we looked at our overall customer base, we do not see a change in the agent count, so it’s about the same. At the same time, we are in a very early stage of maturity and we have some customers that are early in their AI journey and already achieving increased agent capacity and reducing number of agents. So, it’s the very beginning of AI impacting the capacity. It’s also interesting that from those customers that now have the capacity increased, they’re not just choosing to reduce agent count, some of them are choosing to dedicate agents to improve customer retention, and some of them are actually dedicating agents to increased sales. So, we see really an interesting trend. AI can turn the contact center from a service center to a revenue generating center. So, there’s more agent capacity available and also the bots that we deliver today like the coaching bots are coaching agents how to become better salespeople and how to identify the right time during the call in real time to propose some upsell products to their customers. So, to address your question about agent capacity, again we don’t see that across the base but we’re starting to see some customer reporting very strong increase in capacity.
Joshua Reilly: Got it. That’s super helpful, because I think if you look at the actual SaaS ARR, the net new SaaS ARR add in the quarter is actually pretty strong. So, I think that that’s probably the more important data point to be focused on here. And if you look at it, it was nearly up by $19 million sequentially. And if I look at the new SaaS ACV in the quarter was $21.06 million, that tells me that actually your customer retention actually improved over the last couple of quarters. Is that what you’re seeing internally? And maybe you can just talk about, what you’re seeing with customer churn and retention here on overall renewals? Thank you.
Grant Highlander: Yes. That’s very true. So, we started with booking, AI booking more than 40% that’s very strong. Then booking obviously converts to Bundled SaaS revenue and that’s 15% reported in Q2, 15% growth and then the SaaS ARR improving which is a result of booking and better retention. It’s a combination of the two. So, all those metrics that are affected by AI are actually improving because the AI business outcomes that reports are not only strong, but the customers are paying attention. There’s a lot of noise in the market with AI and customers really look for not just the promise of Gen AI, but can you actually turn Gen AI into business outcomes now in my contact center, in my existing ecosystem. And of course that’s what we told customers we can do, but we were also like any other company just promising the future. And over the last year as customers started with initial consumption to prove and this healthcare company that started with 300 agents, obviously they have 30,000 that so it was just an initial consumption, but once they saw the results they expanded 100x. And this is the kind of reaction we’re getting from customers who actually see the results and of course now we can use the stories to tell to other customers and we get their attention. And you can find on our website, you can find 30 case studies of AI business outcomes that were reported by customers. And of course, a year ago, we had nothing. And then over the year, we just started to sell bots and we waited until those bots created real outcomes which are now being reported on the website publicly and of course we share those customers references and so on as we continue to and that helps retention, that helps new booking, that’s the future of AI for Verint is increasing our TAM and a much better growth opportunity.
Joshua Reilly: Got it. Very helpful. Thank you. I’ll get back in the queue.
Operator: Thank you. Our next question comes from Shaul Eyal with TD Cowen. You may proceed.
Shaul Eyal: Thank you. Hi. Good afternoon, guys. Two quick questions on my end. I’m getting some investors asking me as the call is progressing, whether Dan or Grant you’re seeing any change on the competitive landscape. So, on the one hand, totally understand the fact that the annual guidance has been reiterated. Second quarter probably slightly more a timing flash mix. You just addressed it I think in your recent reply to the prior analyst. But anything that might have changed over the course of the past quarter or so?
Dan Bodner: Well, it’s a competitive market, but growing the bookings from new deals 40% is very strong. So, I would say the demand is there and we’re working through the competitive process and we’re winning our first share. I can say that if you -- to answer your question about what changed in the market, I believe that our Switzerland approach is actually even more attractive now to our customer than it was before, because customers are really looking to achieve the AI business outcomes now and they don’t want to wait for their telephony to move to the cloud. So, being able to lead with AI and deal with infrastructure later is important. And Switzerland really ensures them that they can start with Verint with AI now and then whatever they choose later for their telephony infrastructure, we will be compatible. They’re not going to have to disrupt the AI journey that they are on. So, I think that’s changed and of course we are able to deliver AI first. There is no need for rip and replace programs. There is no need to wait a year or two to make an infrastructure change because we designed this hybrid cloud that you can deliver AI now into your existing ecosystem. So, that resonates well and for example that again helped the company example that I gave before where we increased our ARR from $5 million to $10 million over one year. They still did not change their telephony to the cloud. They’re still on prep, but they are consuming more and more AI very, very quickly. So, they can turn their energy, budget and their internal teams are all focused on accelerating the AI journey. And they will convert to the cloud their infrastructure at some point and they know that that’s going to be something that they can rely on Verint that will be compatible with whatever they choose to do. So, we see that as a change. And then one more change is there’s a lot of companies that are now attracted to the contact center market because obviously there’s a growing TAM and it looks like a great opportunity to for more automation based on Gen AI. But we see companies coming to the market with Gen AI and then IT is struggling to really take that Gen AI technology and create real business outcomes. And that’s true for the hyperscalers, but also for smaller companies who just want to deliver Gen AI tools. And there’s a big difference between a generic Gen AI model and basically to train the model, to embed the model into existing workflow based on the contact center expertise that we have. We’re working with some of the largest companies in the world to learn how to deliver real outcomes in this market. So, I think this is a competitive threat that once we are able to demonstrate the business outcomes that we can deliver, it’s also not that difficult for the customers to make that distinction between. AI promise is huge, but what it can do for me now in my existing ecosystems and I think Verint is a great differentiation in this regard.
Shaul Eyal: Got it. And my follow-on question, maybe slightly more from a product perspective, Dan. On the business outcomes, I think in the context of your AI portfolio, have you seen customers coming and asking about some new outcomes, new use cases that you haven’t seen, let’s say, over the course of the past six months or so?
Dan Bodner: Yes, we do. And the most common use cases today the customers are asking for are, I want to improve my self-service, so that my customers will talk to a boss rather than an agent. And I want to buy some agent co-pilots that are going to help my agents in real time. So, these are the two most common use cases and we have obviously very differentiated outcomes in those two areas. But in addition, we automate all the workflows around the contact center and we see our customers are looking at reducing attrition, looking at better coaching and training for the agents, better knowledge for the agents and more automated knowledge because knowledge has been a big struggle and AI has great opportunity for pushing the right knowledge to the agents. So, they don’t have to go and search. We see a lot of companies interested in fraud and using AI to avoid fraud and we report some very strong outcomes. One company avoided $6 million of self-service fraud attempts in just one month. So, it depends on what the industry, we see different focus areas. But more and more customers realize that AI has a lot of potential and they actually come into Verint and say, what are the business outcomes do you think we need? And we’re happy to share our experience that we have now. We got a lot of experience over the last year and we share that with customers that help them to decide. I mentioned the insurance company that started with 20% of their contact centers, so 600 agents of total of 3,000. They started with five bots. You can see those bots are doing different things, but they concluded this is where they want to start. So, they started only with five and only with 20% of the total volume and we believe that as they prove the outcomes that we laid out for them they will expand. And that’s the basis of AI is not just one time deal, it’s a journey. And as the customers go through the journey and validate the outcomes, they increase consumption, which creates huge ROI for them, but also increase TAM and growth for Verint.
Shaul Eyal: Thank you.
Operator: Thank you. [Operator Instructions]. Our next question comes from Samad Samana with Jefferies. You may proceed.
Billy Fitzsimmons: Hey, guys. This is Billy Fitzsimmons on for Samad. Appreciate the color and disclosure on the breakdown of the Bundled SaaS ACV mix between new deals and conversions. And Grant, in the prepared remarks, you talked about this a little bit. Obviously, conversions were strong last year, fell this year, Bundled SaaS ACV from new deals grew 37% year-over-year. Maybe going kind of a step further, how is that mix maybe differed from what you would have expected when targets were given at the December 2023 Investor Day? We talked about how customers are adopting AI-powered bots first and doing conversion second. But trying to get at is the magnitude of either of those different than maybe what you would have expected a couple of quarters ago? And is that causing any changes maybe either in the ACV line and by extent the revenue line relative to some of your expectations at the start of the year?
Grant Highlander: Yes. I’d be happy to address it because you got the numbers correct. So relative to what we discussed in Investor Day, our AI booking which is the Bundle SaaS from new deals is actually ahead of our expectations. We expected growth but we are exceeding it with the 37% and we are projecting around 40% booking growth in H2 as well. The conversion we expected will be flat. So, we didn’t expect growth because all the reasons that we discussed like customers don’t have to convert, they can go AI first. So we expect that that will be flat year-over-year but actually they are down, which is not affecting revenue because if they don’t convert they stay in unbundled SaaS and they expand in unbundled SaaS. So, they’ll convert later and we know that when they convert there is a 2x uplift opportunity. But we give them the opportunity to get to AI quickly and that’s what they want and they don’t want to slow down with conversion. So that’s where we see conversion down this year. There will be coming later, but in terms of situation how does it impact our guidance, we net-net it doesn’t because if they don’t convert they stay in unbundled SaaS and they do something there.
Billy Fitzsimmons: Got it. Super helpful. And if I could sneak in a second one, this is just more general and long-term. Just in terms of bot billing, obviously, the revenue base today is pretty small relative to your total revenue, but we’re kind of getting some questions on the mechanics of that and how it flows through the model relative to kind of the historic pricing. How do we kind of think about the floor or minimum for consumption based pricing versus overages? Just trying to get a sense of the impact of the model as that consumption element grows?
Dan Bodner: Yes. No, this is very, very important question relative to AI consumption because that’s going to drive great economic subvariant over time. The way we build with AI, obviously it’s not SIP based. It’s all based on AI and it’s a volume metric. And we work with large enterprise customers. So, there’s always a minimum commit and they’re committed to a certain term one year, three year, five years whatever. Grant, so mentioned before that actually the term of commitment is getting longer by 20%. And I think that’s a great sign that customers just get comfortable that they want to sign longer term. But more importantly the way the minimum commits work is when they exceed the minimum commits they have two options. They can go on and consume more and pay overage or they can step up the commits by just giving us a piece of paper, a simple purchase order and will increase the commits in the cloud. They will always prefer to increase commit versus overage because it’s going to be more expensive for them to pay overage. When they step up the commit, they get out to a higher level of volume and obviously to a better pricing. So, overage is not important for us because we expect customers to plan. Once we validate the consumption is actually giving them the AI business outcomes that they expected, they are just upping the commit through a purchase order and not through overage. And they can up the commit anytime during the term. So, they don’t have to extend the term, they can just within the term increase commit. And we designed this pricing model to make it really easy for customers to do two things. First, to validate the results so they don’t have to take a word for it, so they can start small, but they can easily increase within the same term, doesn’t require negotiation, it’s all pre negotiated and obviously as they increase, we just need to deploy those extra licenses in the cloud, so that’s easy for them and easy for us. And that’s what we’ve seen over the last year. We’ve seen basically customers starting at initial volume and then at their own pace increasing and by the way, they’re increasing those are starting with multiple bots and not necessarily increasing all bots at the same time. So, one bot for this healthcare company, they increased one bot from 300 to 30,000 but other bots were at different consumption levels. So, there’s a total flexibility for each of the bots because each bot is doing one thing and creating value for that one thing they automate and they don’t have to make decisions across the entire platform that are uniform. So, they can try AI for different purposes at different pace. It’s really very, very flexible model and obviously the platform design support it and the pricing model is designed based on this open and modular platform. Does that answer the question?
Billy Fitzsimmons: Very helpful. Appreciate it, Dan? No. That was helpful and looking forward to Verint Engage in a few weeks. Thanks, guys.
Operator: Thank you. I would now like to turn the call back over to Matthew Frankel for any closing remarks.
Matthew Frankel: Thanks, Josh, and thank you, everyone, for joining us today. Of course, if you have any questions, please feel free to reach out and we’ll talk to you soon. Have a good night everyone.
Operator: Thank you. This concludes the conference. Thank you for your participation. You may now disconnect.